Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Jumia’s Results Conference Call for the Second Quarter of 2021. At this time, all participants are in a listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. I would now like to turn the call over to Safae Damir, Head of Investor Relations for Jumia. Please go ahead.
Safae Damir: Thank you. Good morning, everyone. Thank you for joining us today for our second quarter 2021 earnings call. With us today are Sacha Poignonnec and Jeremy Hodara, Co-Founders and Co-CEOs of Jumia; as well as Antoine Maillet-Mezeray, CFO. This call is also being webcast on the IR section of our corporate website. We will start by covering the Safe Harbor. We would like to remind you that our discussions today will include forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the Risk Factors section of our Annual Report on Form 20-F as published on March 12, 2021. In addition, on this call, we will refer to certain financial measures not reported in accordance with IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. I also would like to cover two housekeeping points. All our numbers will be presented in U.S. dollar going forward. As a result of functional and presentation currency changes from the Euro to the U.S. dollar effective April 1, 2021. For convenience purposes, Q2 2021 results highlight in Euro have been provided in the appendix of this presentation. I also would like to point out that all our growth rates, we will mention in this presentation are on a year-over-year basis unless otherwise noted. With that, I’ll hand over to Sacha.
Sacha Poignonnec: Thank you, Safae. Welcome, everyone, and thanks for joining us today. Our results for Q2 reflect what we have announced during our last call, increased investments in our platform to support our objectives of driving accelerated usage growth as well as JumiaPay. Jeremy will walk you through in a moment the detailed results, but I can already say that we have started to increase our investments in sales and advertising as well as technology expense to support our long-term growth. We’ve had the fastest growth of transactions of the last five quarters. This is early momentum that we want to build on to accelerate even more. And we have a great milestone on JumiaPay that allows us to process third-party payments. This focus on usage growth in JumiaPay is now possible because our fundamentals are very strong to support our long-term growth and also ensure that as the business scales, it turns profitable. I would like to remind how much the business has changed over the last years on Page 3. First, our marketplace has never been more diverse and relevant for our consumers. The share of GMV from everyday product categories is now 63%. It was 41% three years ago. This diversification has been in the making for many years as we’ve been working on the supply side of our marketplace, developing partnerships with brands and sellers, which put us in a position to make significant inroads in those categories. Secondly, we have transformed our unit economics. Gross profit margin stands at 12% of GMV, almost doubling over the past two years. We’ve been generating positive gross profit after fulfillment for now seven quarters in a row. And obviously, this is very important because we have now set unit economics at a level that gives us the flexibility to invest much more behind growth. And finally, we have significantly strengthened our balance sheet, raising over $570 million of cash over the past nine months, and this gives us the firepower to fund our growth investments. All this, as we’ve discussed in the past, was achieved with no particular tailwind from COVID. So our focus going forward is very clear, scale the platform and develop JumiaPay. On Page 4, here’s how we are executing across all areas of the business to serve these two objectives. We are ramping up marketing investments to drive even more brand awareness support consumer education with a view to, of course, accelerate consumer acquisition and retention. And here, we want to drive both e-commerce and payment adoption. Our commercial efforts aim to provide the broadest and most relevant range of products and services with a focus on everyday categories. These categories cover physical goods like FMCG, grocery, fashion, beauty, but also lifestyle services, such as food delivery, grocery delivery, digital services offered on the JumiaPay app. Our logistics operations are focused on constantly reducing delivery times and further increasing the network reach and convenience for consumers. And last but not least, technology is the backbone of all our operations and key to support user engagement and conversion rates. We are aiming to increase our tech headcount by 40% by the end of the year and in particular, expand our newly launched tech hub in the City of Cairo in Egypt. It is a very exciting time for us at Jumia with a busy pipeline of projects and innovation that will significantly enhance each step of the consumer journey and allow us to better serve both consumers and sellers. And I’ll now hand over to Jeremy, who will walk you through the performance of Q2 in more detail and dive deeper into some of the initiatives I just mentioned.
Jeremy Hodara: Thank you, Sacha. Hello, everyone, and thanks for joining us today. Let’s start with the review of the usage trends during the quarter. We’re on Page 6. As Sacha mentioned, we are very focused on accelerating the usage growth. And in this context, Q2 of this year was really a transition quarter where we ramped up our sales and advertising expense after six quarters of reduced marketing spend. Now what has changed versus last year is that we have built sufficient strength in our unique economics to allow us to invest more into growth. First, we are seeing early signs of acceleration in the business. With the orders reaching $7.6 million, increasing by 13% year-over-year, which was the fastest volume growth of the past five quarters. When we look at the details of volume growth by product category, we are seeing areas of strong momentum emerging very clearly. Food delivery was the fastest-growing category on our platform in volume terms, posting the highest ever number of quarterly orders up almost 60% and accounting for 22% of total orders on our platform during the quarter. Food delivery is the first area of the business where we deployed our growth acceleration in force late last year to reignite the user growth following the disruption on the onset of the pandemic. The annual active consumers reached 7 million, up 3% as we continue to acquire new consumers and engage existing ones. GMV was US$223.5 million, down 11% on a currency adjusted basis. In terms of trends by product category, we continue to see diversification of GMV in favor of everyday category. On Page 7, you can see that phone and electronics went from accounting for 43% of the GMV in Q2 last year to 33% of the GMV in Q2 this year. Phone and electronics categories continue to see GMV decline during the quarter due to multiple factors, including supply disruption with global chipset stockage, alongside muted consumer demand due to the high ticket size, discretionary nature of this item. In contrast, everyday category and lifestyle services, in particular, are experiencing very strong momentum. Under the lifestyle services umbrella, we include both food delivery and digital services offered in the JumiaPay app. These categories are accounting for an increased share of GMV, contributing 14% in Q2 this year compared to 9% Q2 last year. The fastest-growing category in GMV was the financial and digital services offered in JumiaPay. This category posted its largest ever quarterly GMV in Q2 this year, up more than 60% compared to last year, which has set what was a strong quarter, up 56% compared to Q2, two years ago. On the physical front – physical goods front, sorry, the fastest-growing category in GMV terms was fashion, which continues to be the largest category volume-wise on our platform. I would also like to call out the grocery and consumable category, which is among the categories of focus for us. Here, we are leveraging both our on-demand and e-commerce platforms to meet the variety of consumer needs in this space. Our e-commerce platform caters to larger grocery basket size for plant purchases. We have accelerated the pace of tailor and brand onboarding in this category. In Q2 this year alone, we onboarded over 780 FMCG brands and sellers taking into account of live product listings in this category from approximately 65,000 end of June last year to almost 100,000 end of June this year. Through our on-demand platform, Jumia Food, consumers can make add-on purchases of grocery and FMCG items from convenience outlets and supermarkets for delivery within one hour. We are also piloting the use of dark stores or micro fulfillment centers located in high population density areas for the fulfillment of grocery orders. This is a strategic category for us because it drives user engagement and stickiness. And we have the relevant logistics platform and supply relationships to offer consumers a compelling value proposition in this category. While we’re encouraged to see early signs of acceleration in the business and multiple pockets of strong momentum, we have significant opportunity to meaningfully accelerate today’s growth on our platform. And I’d like to give you more color on what we are doing on the marketing and technology front to drive this usage acceleration. These initiatives are informed by consumer insights as well as multiple pilots on the tier the past few months. On Page 8, starting with marketing, we are ramping up our marketing investments across below and above the line to drive consumer acquisition and retention. We have highlighted here selected initiatives we are implementing across these channels. Our below-the-line activities are focused on online performance channels such as Google and Facebook and cover all phases of our consumer journeys, starting from brand awareness, more customer targeting, app installs as well as retargeting returning consumers. We are increasing the overall amount of marketing spend on these channels in 2021 compared to 2020, leveraging the efficiency learnings of last year. We are also – we also intend to implement a full funnel approach, particularly on Facebook that goes beyond direct response ads and includes more brand awareness campaigns with more engaging video content targeted towards relevant audiences. Lastly, we plan to further scale our social media influencers channel on the back of the success of this channel as a consumer education and acquisition tool in certain countries such as Egypt. Both the line channels, we are increasing our overall investment in offline marketing channels to drive even more brand visibility and consumer education with always on above-the-line campaign. We are also leveraging geo-targeting tools to identify underpenetrated areas and launched targeted out-of-home advertising campaign. Lastly, we are deploying more targeted consumer incentives enhancing our consumer engagement strategy with the rollout of our new CRM growth tool. We have developed and piloted the CRM tool based on machine learning algorithms that allows us for more refined audience targeting and more tailored push notification content, allowing us to both reduce opt out and drive the usage uplift. There is no single silver bullet with respect to marketing. It all comes down to granular and disciplined execution across each and every step of the consumer journey. That’s really the spirit of our approach. Moving on to technology on Page 9. Tech is the backbone of our platform, and we are increasing our investment in this area to build more products and features to enhance user experience and engagement on our platform. We are planning to increase our tech headcount by 40% by the end of the year, with a focus on our newly launched tech hub in Cairo, Egypt. Our Cairo hub will host over 100 tech professionals and will include dedicated teams to front-end projects. We highlighted a few examples of such projects on this slide. We plan to increase the personalization of our own site content, including homepage product, widgets, search, et cetera. Our consumer customers are responding very well to gamified content. And we plan to – and we plan to enhance our daily and weekly animations with dedicated teams of gamification content creation, flash sales and branding campaign. Last but not least, we are planning to start developing selected social commerce features such as user-generated content, including video picture uploading reviews and more content features for sellers and influencers. These investments are long-term in nature and we expect them to pay out over time, as we execute on our acceleration strategy. Let’s now turn to JumiaPay on Page 11, which forms an integral part of our acceleration strategy. We have been consistent in our vision for JumiaPay, which is to first developed our payment and fintech solutions within the Jumia platform, and ultimately offer them off-platform to third party. We are pleased to announce a major step toward off-platform payment development in Egypt, National Bank of Egypt, the largest state-owned bank in Egypt obtained an approval in principle from the Central Bank of Egypt to offer certain services in partnership with the services are payment service provider, payment facilitation, and payment aggregator and they allow us to process payment off-platform on behalf of third party merchant in Egypt. This is the very first step in the expansion of our services off-platform, and we’ll keep you updated on the relevant developments on this front as we build out these activities. On the digital and financial services side, we continue to expand the range of relevant services available to consumers on the JumiaPay app, adding 19 new services in Q2 this year. In Morocco, for example, the Jawaz solution is now available to consumers on the JumiaPay app, allowing them to recharge their highway toll fees on the JumiaPay app without the need to stop at physical tools on their journeys. Moving on to the JumiaPay performance in Q2 on Page 12. While TPV decreased by 4% on both the constant currency and currency adjusted basis, in parallel with the decrease in GMV. On-platform penetration of JumiaPay as a percentage of GMV increased to 25.3% in Q2 this year from 23.5% in Q2 last year. And we’re pleased to see that multiple countries within our footprint have reached significant higher penetration rates with Nigeria and Egypt surpassing 40% of TPV penetration as a percentage of GMV in the first half of 2021. Moving on to volumes on Page 13. JumiaPay transaction increased by 12%, the fastest transaction growth rate of the past four quarters. JumiaPay transaction growth was supported by accelerating volume growth in the business with particularly strong momentum in the food delivery category. Overall 35.4% of orders placed on the Jumia platform in the second quarter of 2021 were competed using JumiaPay compared to 35.6% in the second quarter of 2020. There was meaningful runway for us to further grow JumiaPay both on and off-platform and our increased investment in marketing and technology, include a portion for JumiaPay to drive payment adoption and support product development. I now hand over to Antoine, who will walk you through our financial performance in more detail.
Antoine Maillet-Mezeray: Thank you. Hello everyone. I’ll start with our monetization metric. In Q2 2021, marketplace revenue was up 1% and gross profit up 4%. Our gross profit margin as a percentage of GMV continued to expand year-over-year from 10.2% in Q2 2020 to 12% in Q2 2021. Let’s unpack this trend by looking at the details of each marketplace revenue stream on Page 16. Having achieved the robust level of unit economics with gross profit after fulfillment at US$1 per order. We made the deliberate choice to reinvest some of this profitability back into growth. As part of that, we took targeted actions to support usage growth, increasing consumer price incentives and shipping discounts. These drove a decrease in commissions and fulfillment revenue by 7% and 2% respectively. On the other hand, value-added services revenue increased by 10%, the fastest growth rate of the past six quarters. This was the result of increased volumes in our platform, which led to higher shipping contributions collected from salary. It was also supported by increased take-up by sellers of our warehousing services, particularly cross-border sellers, collaborate on our local storage facilities to reduce delivery times for our consumers. As we use the monetization intensity on the commissions and fulfillment revenue, we are ramping up new monetization streams to give us further flexibility to invest into growth. One of these streams is marketing and advertising, which increased by 18% in Q2 2021, supported by robust growth of our sponsor product at solutions. We are constantly enhancing the user experience and relevance of our ad products to drive increased click-through rates, and we do so through better audience segmentation, innovative ad placement and overall improved ad operations and analytics. Another key monetization stream for us is our logistics offering to third parties on Page 17. This is an offering we won’t have in early 2021 and on the back of a successful pilot in 2020. This activity is experiencing very strong momentum with a record 1.3 million packages delivered in Q2 2021, compared to 0.5 million packages in the full year 2020 on behalf of over 300 clients. Our clients spans a very broad range of sectors, and we have led out on the page a few examples of logistics as a service client we worked with during the quarter. In Ivory Coast, we collaborated with the UNICEF for the delivery of over 16 million Long-Lasting Impregnated Mosquito Net to household across over 100 remote health districts. In Ghana, we worked with Far East Mercantile Limited, which is a leading FMCG distribution company with a portfolio of over 1.5k SKUs across Africa. We collaborated with the group for line haulage services to their customers in Ghana. In Nigeria, we worked with Wema Bank, a fully digital bank offering them card-product delivery to customers across Nigeria, via road and air freight. We are very engaged by the strong momentum in our logistics as a service offering, and we intend to continue building up this business to meet the logistic needs of a broad range of industries in Africa. Whether it’s advertising, logistics as a service or payment services in the future, we have a compelling suite of assets and services to support the growth of businesses in Africa and their transition to the digital economy. And building these services into sustainable monetization streams provides us with the flexibility and firepower to further into the growth of our consumer-facing activities. Moving on to costs on Page 19. Over the past two years, we have transformed our unique economic and the economics of fulfillment in particular. Gross profit after fulfillment expense reached US$7.7 million, up 16%. This is our seventh consecutive quarter of positive gross profit after fulfillment expense. Fulfillment expense remained stable in Q2 2021 versus Q2 2020, despite an acceleration in orders as the increase in freight and shipping costs was offset by staff cost savings and increased efficiency in our fulfillment centers. In addition, we are able to pass on an increasing proportion of our fulfillment expense to the combination of consumers and sellers via our fulfillment and value-added services revenue streams, respectively. The pass-through of our fulfillment expense measured as the ratio of the sum of fulfillment and value-added services revenue of our fulfillment expense increased from 73% in Q2 2020 to 75% in Q2 2021. This ratio may fluctuate in the near-term as we intend to use targeted shipping subsidies to support usage growth. Moving on to sales and advertising costs, Page 20. We are also increasing our sales and advertising investments to support usage growth. Sales and advertising expense reached US$17 million in Q2 2021, more than double the spend in Q2 2020. However, it is largely in line with the amount spent in Q2 2020 as we return to more historical levels of marketing investment after a period of significant reduction over the prior six quarters. And this marketing investment are deployed across all relevant customer acquisition and retention channels as outlined by Jeremy earlier. Turning to technology and G&A expense, Page 22. Technology is another area of increased investment with technology and content expense reaching US$8.4 million, up 8%. General and administrative expense, excluding SBC reached US$26.6 million, down 15%. The trend was mostly attributable to a decrease in provisions, particularly as the second quarter of 2020 included US$5 million of provision for class action settlement. Moving on to adjusted EBITDA on Page 22. We have clear objectives of usage growth acceleration and JumiaPay development and our capital allocation reflects that. Adjusted EBITDA loss increased by 15% as our increase in gross investments, sales and advertising and technology expenses was larger than the expansion of gross profit after fulfillment expense and the savings generated in G&A expense, excluding SBC. Let’s now turn to balance sheet and cash flow. We are increasing our growth investment in an asset-light manner, leveraging specific benefits of our operating model. CapEx in Q2 2021 was US$1.5 million as we operate Jumia Logistics as a platform with very limited CapEx requirements. Net change in working capital resulted in an outflow of US$12.6 million in Q2 2021. That was mainly attributable to an increase in payables associated with the Jumia Anniversary campaign, which took place in June 2021. Cash utilization for the quarter defined as cash used in operations and investing activities, was US$27.4 million in Q1 2021. That is significantly lower than the adjusted EBITDA loss of US$42 million, thanks to the working capital inflow during the quarter. The cash and cash equivalent position at the end of June 2021 was US$637.7 million. This stronger balance sheet position gives us the firepower to increase in a disciplined manner or investments in usage acceleration in JumiaPay development. With that, I’ll hand over to Sacha for concluding remarks.
Sacha Poignonnec: Thank you, Antoine. Thank you very much. In summary, Q2 was a transition quarter where we ramped up our sales and advertising expense after six quarters of reduced marketing spend. We started to see some early positive signs, and we are confident about the impact of those investments on usage growth acceleration. As we have highlighted, the past two years have been transformational, for Jumia and have set strong foundations for us to accelerate execution on our priorities. We’re very excited by the new phase we are entering. We see a vast and untapped market opportunity, both on the e-commerce and fintech fronts, and we believe that we are uniquely equipped to capitalize on this opportunity. The objectives for us going forward are very clear. Accelerate usage growth, development of JumiaPay, we’re deploying more capital, particularly in marketing and technology to achieve these objectives. And as we mentioned also during the last call, the acceleration will not happen overnight. We accept – we expect it to be gradual. We have already seen some early signs of success in Q2 with accelerating orders growth pocket a very strong moment term, whether it’s food delivery or the JumiaPay app services. And we plan to continue sharing with you milestones of success as we execute on our strategy. Many of the investments we are making now and that Jeremy told you more about earlier are long-term in nature. And we will take no shortcut in pursuit of quick wins. We are committed to building a successful business in the thriving ecosystem for our consumers and partners for decades to come. And of course, while we are currently very focused on growth acceleration, reaching breakeven remain very much on the agenda. Our capital allocation and approach to cost will continue to be disciplined. We may see some fluctuation unit economics in the near term as we ramp up investments, but we ultimately expect usage growth and the diversification of our monetization streams to support our path to profitability. Thank you very much for your attention. And operator, we are now ready to take questions.
Operator: Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] Your first question for today is coming from Aaron Kessler. Please announce your affiliation then pose your question.
Aaron Kessler: Great, thank you. I’m Aaron Kessler, Raymond James. Just quickly, if you can discuss maybe the COVID impact you’re seeing in the quarter, maybe into Q3 as well. Obviously, still a top of mind for a lot of investors. And then second, just on the marketing side. What are some of the key measures that we should be watching to analyze the success there? Is it more focused on user growth near term, GMV? And just kind of one of the key metrics you’re going to be looking at to analyze the success? And should we start to expect the benefit in Q3? Or is this more of a multiyear quarter or a multiyear journey on the marketing side? Thank you.
Sacha Poignonnec: Thanks very much for the questions. I think on the COVID impact, as you all know and as you know, we’ve been commenting quite a lot on that. Perhaps it’s been more of a disruption than a tailwind. And this has been largely because in Africa, we’ve not seen lockdown, the same way we have seen in, for example, Europe or the U.S. And people could still shop, they could still go to stores normally during the day. And what we have seen on the contrary is a lot of restrictions of movement, things like curfew, preventing our delivery partners from doing deliveries at night, preventing restaurants from opening at night and even for delivery. And so it’s been a lot of that. And there are still some of that happening here and there, right? So in the last few weeks, a few big cities have announced curfews at 8:00 PM, for example, limiting our ability to do night deliveries and, of course, limiting the restaurants from doing food delivery at home. So look, we still see some of that, but I would call those rather minor. And we believe that we are operating more normally right now, right, as we have been over the last few months. So no particular change in the last few weeks, some rather minor here and there. But again, keep in mind that for us, it’s been overall more of a disruption on a net basis than a tailwind. When it comes to marketing, it’s a very good question. And of course, as you start to see, there’s obviously some lag between the investments that we’re doing in sales and advertising and some of the benefits that we are seeing in terms of usage acceleration. And over time, what we want to see, obviously, is an acceleration of the three usage metrics that we see, which are the GMV, the orders the active consumers, right? Given our focus and given our priorities, clearly, the orders is the metric that tends to grow the fastest because we are focused on driving the everyday categories, and they’re engaging with the consumer. So we think that this metric of orders will be the one to watch a bit more than the others. But again, over time, we want to grow the various usage metrics. And the KPIs that we want to look at over time are, of course, the ratio of the growth acceleration, I would say, year-over-year of those metrics as well as the efficiency of the marketing, both over GMV, over the number of orders as well as the proactive consumer on an annual basis, right? And – when can we see those benefits? I think they will be gradual. So again, we start to see some of them in Q2, and we are very confident that we will see more and more of them gradually in the next few quarters.
Aaron Kessler: Great. Thank you, Sacha.
Operator: Your next question is coming from Sarah Simon. Please announce your affiliation then pose your question.
Sarah Simon: Hi, Sarah from Berenberg. I have got two questions, please. First one was, as you ramped up marketing investment, can you give us sort of color on what you’re seeing in terms of the evolution of customer acquisition costs? And the second one is, if we look at Slide 7, and that’s obviously becoming quite familiar in terms of the shift away from Foods & Electronics. So you’ve talked about FMCG build-out. I’m assuming that FMCG is growing faster than overall fashion, you said is the biggest – is growing faster than FMCG because that would be physical goods. And food and delivery is up from 9 to 14. So I’m just wondering what’s the category which is not within the blue section, which isn’t growing or is maybe shrinking? If you can just give us a bit more color there? Thanks.
Sacha Poignonnec: Yes, of course. Thanks, Sarah. On the customer acquisition cost, it’s a tricky question, because it’s tricky for us, but it’s tricky because right now, we’re doing a lot of investments on consumer education and on the bottom line, as we call them and off-line activities like billboards and YouTube videos and so on and so forth. And one has to be careful when you decide to make some allocation about how much goes to new consumers versus how much goes through returning consumers, right? And so depending on those assumptions, you can really have a very different view of how the customer acquisition cost is looking. So this is why we like to look at the efficiency of our marketing dollars over a period of four quarters. Looking at the LTM, last 12-month active consumers and the marketing that we invest in order to engage those consumers. But I think with time, we’ll see this metric continue to trend in the right direction. At the same time, given how much we have reduced marketing investment over the last few quarters. And over the last six quarters, we’ve reduced and reduced and now we have brought the sales and advertising back to the level of 2019. I think we’ll deviate from the last 12 months efficiency, right? So we’ll have to see how the next few quarters shape up, but I think that the efficiency will not be as good as the last 12 months, obviously, because they were quite unique. But over time, over a longer period of time, multiple years, I think it will keep trending in the right direction and become more efficient with time as consumers get comfortable with the online transactions and e-commerce in general. Now on Slide 7, it’s hard to just tell you here. I think it’s – overall, the trend is that Fashion, Beauty and FMCG are doing well. I think fashion is doing well. I think last year in Q2, maybe we were having a lot of masks and COVID-related items for the first time. So maybe that is changing here, but there’s not one big trend or one big category that I could name that is not doing well. I think it’s more a generic trend. Perhaps there is some of that from last year, specifically Q2 because it’s when it started to happen and changed a bit the mix because of that, but that’s the only thing that can come to mind right now. There’s not something that is major out there.
Sarah Simon: Okay. And then within digital, I think last quarter, you highlighted that you actually scaled back some of the digital payments like which weren’t particularly profitable for you. But in this presentation, you’ve highlighted digital services as a growth category. So have you changed that kind of philosophy because I think stuff like mobile phone recharge and things you scaled back on in Q1, but have you switched that more back on in Q2?
Sacha Poignonnec: No, not specifically. I think the trend is continuing that those categories are still there and still very important for us. But we tend to see them and to make decisions based on customer lifetime value with those categories, right. So no, that trend continues, and we’ve not done a lot more of those in Q2. The trend that we talked about in Q1 continues. And I think it’s a good trend because it means that we have more users on the JumiaPay app doing more than just their time, right. And we see lots of momentum in categories like gaming and financial services, micro loans and so on. So I think it’s very good. And we hope that this will continue.
Sarah Simon: Okay. Sorry, final follow-up on that would be, I mean, given that some of the digital services, you are emphasizing less as you said, if we think about growth in food delivery, separately from digital services. Do you think the growth has been – has the growth been higher than from 9 to 14 would imply, if that makes sense? Did digital service maybe stay flat, I mean did digital services grow the sense of GMV given the pluses and the minuses you talked about?
Sacha Poignonnec: And so on the – because on the digital services, you have more usage on those services that I mentioned and probably a bit less usage on airtime. I think on food delivery, in the quarter last year, which was quite strongly impacted by the disruption, right. So I think we had shown this graph last year where we had shown food delivery going down quite significantly starting in May or something like that. And this year, of course, we’ve seen less of those disruptions. So some of the food delivery has gone faster on the – in this quarter because, of course, some of the disruptions from the previous quarter, if that makes sense, Sarah.
Sarah Simon: Yes, yes. Cool. Thanks very much.
Operator: Your next question is coming from Lamont Williams. Please announce your affiliation and pose your question.
Lamont Williams: Hi, Lamont Williams with Stifel. So just a quick question. When we look on – look at marketing expense for the balance of the year, is this level that we saw this quarter kind of the run rate we can expect from investment going for the balance of the year? Or should we see this ramp even more?
Sacha Poignonnec: We would hope to be able to ramp up gradually from this level. Of course, we – part of the marketing is an investment in the brand, part of it is more performance and conversion driven. So please don’t take it as a definitive view, but the intention would be to gradually increase from that level?
Lamont Williams: Okay. And is – as you look – I’m sorry, go ahead.
Sacha Poignonnec: I was – I think you have to look also this as a two per year perspective, right? And I think you can see that in 2019, we had almost the same level as the level that we just had here, right? And if we think about Q3, Q4, we have Black Friday coming and so on. So I think you need to take two per year perspective to appreciate when I say gradual increase. It means from both from the level of Q2 but also from the level of historical years because Q3, Q4, of course, you have the ramp up of Black Friday.
Lamont Williams: Okay. Great. And just as a follow-up, is there any callouts in terms of just the volume growth by geography?
Sacha Poignonnec: No, nothing special. We’re still very, very well diversified. Nigeria, about 25% of the activity. Egypt, about 20% and then we’ve got North Africa, West Africa, East Africa, South Africa, nothing outstanding out there. I think it’s still valid and – of course, there are some countries always doing better and some countries a bit less than this and on that. But I think overall, it’s a pretty consistent story.
Lamont Williams: Okay, great. Thank you.
Operator: [Operator Instructions] There are no more questions in queue.
Sacha Poignonnec: Great. Well, thank you very much, everyone, and looking forward to updating you in the next few months. And as always, if there’s any feedback any questions, we are available. Thank you so much. Take care, everyone. Bye-bye.
Operator: Thank you, ladies and gentlemen. This does conclude today’s conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.